Operator: Good afternoon. My name is Erika, and I will be your conference operator today. At this time, I would like to welcome everyone to the Electronic Arts Q3, 2018 Earnings Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions].Thank you. Mr. Chris Evenden, VP of Investor Relations, you may begin your conference.
Chris Evenden: Thank you, Erika. Welcome to EA's third quarter fiscal 2018 earnings call. With me on the call today are Andrew Wilson, our CEO, and Blake Jorgensen, our CFO. Please note that our SEC filings and our earnings release are available at ir.ea.com. In addition, we have posted earnings slides to accompany our prepared remarks. Lastly, after the call, we will post our prepared remarks, an audio replay of this call, our financial model and a transcript. With regards to our calendar, our Q4 fiscal 2018 earnings call is current scheduled for Tuesday, May 8, 2018. This presentation and our comments include forward-looking statements regarding future events and the future financial performance of the company. Actual events and results may differ materially from our expectations. We refer you to our most recent Form 10-Q for a discussion of risks that could cause actual results to differ materially from those discussed today. Electronic Arts makes these statements as of today, January 31, 2018, and disclaims any duty to update them. During this call, the financial metrics, with the exception of free cash flow, will be presented on a GAAP basis. All comparisons made in the course of this call are against the same period in the prior year unless otherwise stated. On the subject of accounting standard, effective fiscal 2019, we will adopt ASC 606 revenue recognition standard for GAAP net revenue. We will continue to provide the GAAP measures to enable investors to derive the management reporting metric. We do not expect material impact to net bookings. For more details, please see the brief qualitative overview of the impact of ASC 606 we have posted on our IR website. For additional information, also please see our 10-Q for the period ended December 31st, 2017. Now I'll turn the call over to Andrew.
Andrew Wilson: Thanks, Chris. Q3 was a quarter defined by strong performances and important learnings for us at Electronic Arts. We love making games. It is a privilege to bring fun and entertainment to people all around the world. As we look across our games and services this quarter, we have a lot to be proud of. We brought hundreds of millions of hours of play to fans during the holiday quarter across console, mobile and PC. We also appreciate that our players have high expectations of us and the games we make and that passion drives us. As we push the boundaries with every new experience, we are continually listening, learning and taking action to serve our players. Now, let me touch on Star Wars Battlefront II. This was definitely a learning opportunity. You'll remember that we brought three of our top studios together on this project, and the result was a massive game with a new Star Wars story; space battles; and huge multiplayer variety. We wanted a game that would meet the needs of the vast and passionate Star Wars fan base, so we designed it with the intent of keeping the community together, and a commitment to continually add content long after launch. Given the newness of this design, we knew that player feedback during the pre-launch testing period would be key. Having made adjustments based on sentiment and community data coming out of the beta and early trials, we ultimately made the decision to pull in game purchases out of the game prior to launch. We never intended to build an experience that could be seen as unfair or lacking clear progression, so we removed the feature that was taking away from what fans were telling us was an otherwise great game. We are fortunate to have such passionate players that will tell us when we get it right, and when we don't. We're now working hard on more updates that will meet the needs of our players, and we hope to bring these to the Battlefront II community in the months ahead. Having made these changes before launch, Star Wars Battlefront II has been delivering fun to millions of players around the world, through the holiday season and beyond. With the breadth and depth of the game, fans spent twice as much time playing Battlefront II over the previous game during the launch quarter. The unique story of Iden Versio at the center of the game has drawn nearly 70% of players into the single -player campaign. Engagement has been strong in the first season of free post- launch content from The Last Jedi, and we're excited to bring new seasons to fans in FY19. As we grow this game with more content, we believe that Star Wars fans will continue to have fantastic experiences over the long life of Battlefront II. Going forward, we believe that live services that include optional digital monetization, when done right, provide a very important element of choice that can extend and enhance the experience in our games. We're committed to continually working with our players to deliver the right experience in each of our games and live services. Across the company, our fantastic creative teams are constantly pioneering new experiences that expand our reach, and add to the unmatched depth and breadth of our portfolio of games. There were many great examples of this throughout Q3, and I'll touch on a few of them here. FIFA continues to thrive as one of the world's leading entertainment properties. On console alone, our FIFA franchise had nearly 42 million players during the calendar year, and our FIFA 18 unique player base grew 10% year over year from launch through Q3. FIFA Mobile added another 26 million players in the quarter to its total player base more than any quarter in the last 12 months and millions more joined our FIFA experiences in Korea and China this year. Ultimate Team is more popular than ever across our EA SPORTS titles, and in FIFA Ultimate Team we had 12% more players' year-over-year from launch through Q3. In other areas of our portfolio, Battlefield 1now has more than 25 million unique player's life to date, putting it on a similar growth trajectory as Battlefield 4's massive community. The Sims 4 had another extraordinary quarter as we launched our highest performing expansion pack to date, and brought the game to consoles for the first time. Both of those contributed to player base growth in our Sims 4 community of more than 35% year-over-year in Q3. Need for Speed Payback also brought new experiences to longtime fans this quarter. On mobile, we're bringing more players into our network from across the world through the unique breadth and depth of our IP. From deeply engaged fans in Star Wars Galaxy of Heroes to large, long -term communities in our EA SPORTS titles, The Sims FreePlay and more, our mobile games are reaching a wide and diverse audience and delivering years of high- value entertainment. Competitive gaming continues to be a major growth opportunity for us. We are bringing some of the biggest sports franchises in the world to the esports stage, and with new league partners, sponsors and broadcasters, our Madden NFL and FIFA competitions are reaching new milestones. The Madden Challenge special on The CW network was the number one esports television broadcast in the U.S. for 2017, and our Madden Challenge live finals in December drove our largest digital viewership to date for a Madden tournament. On the FIFA side, we just kicked off the Road to the eWorld Cup with the FUT Champions Cup in Barcelona last weekend. Digital viewership was massive; with more than 17 million total views that's half of last season's total views in just our first tournament of the year. We are also partnering with leagues like the MLS, Bundesliga, and more to bring competitive FIFA deep into their fan bases, expanding our global opportunity. Next, we're bringing competition to Battlefield, with online qualifiers set to begin in Q1 FY19. Across FIFA, Madden and Battlefield, this is going to be our biggest competitive Season yet for players and spectators. Looking to the quarter ahead, we're set to deliver a mix of amazing new games that will add to the breadth of our portfolio. First, later this week we will launch UFC 3. We have a great partnership with the UFC, and have worked hard over a two year development cycle to bring innovation across the entire game. With major UFC events coming in the months ahead, we're delivering UFC 3 at a very exciting time for the sport and its fans. During the fourth quarter, we will also launch the first two games from our EA Originals program, Fe and A Way Out. As you'll remember, we started EA Originals with a commitment to help independent developers bring unique and memorable games to the world. We can't wait to see fans come out and support these deeply -talented creators and the ideas they have brought to life in these games. Also in Q4, The Sims Mobile will launch worldwide on iOS and Android. This game is a major leap forward for the franchise, combining the unique Sims magic with new dimensions of social play. Sims players are some of our most diverse and committed fans, and with games like The Sims 4 and The SimsFree Play, we've shown how we build and deliver for these communities over many years. In FY19, we will push the boundaries even further for our players, with new experiences and constant innovation. It's a World Cup year, and with the largest sporting event on the planet set to reach billions of soccer fans, our EA SPORTS development teams are packing excitement into our next FIFA. Madden NFL, NHL, and NBA LIVE will all bring new dimensions of gameplay, self-expression and social connection. The Battlefield universe will grow this year with our next Battlefield title, captivating longtime fans and new players alike, and adding to our Battlefield service where players can move seamlessly with their friends. Our new IP, Anthem is a stunning project from BioWare that will blend genres with a shared world experience that evolves around its players. Excitement for Anthem is building, and we're deeply invested in delivering a great new experience with this game when it launches in Q4 FY19. In addition, we plan to launch two new mobile games built around fan -favorite IP; we'll grow in esports with competitions and broadcast content reaching more players and viewers; and we'll continue to deliver for players through our live services including Star Wars Battlefront II with more great content for the games they love. This collection of amazing games and content across more platforms, wrapped in live services, is at the core of the network we are building for our players. With competition, and subscription offerings that we will expand in new and innovative ways, we are reaching new audiences. Our amazing creative teams including the addition of the talented group at Respawn Entertainment Our Frostbite engine, our central technology platform and our Labs groups are putting us in position to be disruptive, and deliver the unexpected. We are excited to bring many more great experiences to our global network in this quarter and beyond. Now I'll hand the call over to Blake
Blake Jorgensen: Thanks Andrew. Electronic Arts delivered earnings above our guidance absent of one time impact from tax reform. Sales of Stars Wars Battlefront 2 underperformed our expectations but event driven live services significantly exceeded them. This speaks to the stability of a business as diverse as ours with its broad portfolio of titles and mix of business model. I'll report our results on a GAAP basis then use our operational measure of net booking to discuss the dynamics of our business. To compare this quarter's results to historically reported non-GAAP measures, please refer to the relevant tabs in our downloadable financial model. EA's net revenue was $1.160 billion compared to $1.149 billion a year ago. Operating expenses were $680 million compared to $637 million a year ago with the year-over-year increase primarily due to continued investment in existing and new genres and in live services. GAAP operating loss was $21 million compared to an operating loss of $4 million a year ago. And together with the charge from tax reform resulted in a loss per share of $0.60 compared with $0.00 a year ago. Almost all of the year-on-year change approximately $0.57 was due to the tax charge. Note, that given our GAAP result was a loss our share count was 308 million shares. Had we reported a profit the diluted share count would have been 311 million shares. Operating cash flow for the quarter was $849 million, down $288 million from last year. The decrease was driven by the timing of collection and be lower net bookings. Capital expenditures for the quarter were $24 million, resulting in a free cash flow of $825 million. Operating cash flow for the trailing 12 months was $1.514 billion. We remain on track to deliver operating cash flow of $1.6 billion for the fiscal year which would be a new record. See our earnings slide for further cash flow information. During the quarter, we repurchased 1.4 million shares at a cost of $150 million leaving $778 million in our two year $1.2 billion buyback program we began in May. We also paid a $151 million in cash to acquire Respawn Entertainment. Our cash and short term investments at the end of the quarter were $4.9 billion with 36% of this balance held onshore. Now I'd like to turn to the key drivers of our business in the quarter. Net bookings for the quarter were $1.971 billion, down $99 million on the prior year, which benefited from a strong Battlefield 1 launch. Net bookings for the quarter were $29 million below our guidance driven by lower than expected sales of Star Wars Battlefront 2. For Q3, we had expected the sale of about 8 million units but we fell short of that by less than1 million units. However, this shortfall was significantly offset by excellent performance from our live services. The impact of FX was immaterial on the quarter. Digital net bookings were $1.23 billion, up 12% on a year-over-year period and a new record for the third quarter. The main driver of this increase was live services, offset by lower sales of Star Wars Battlefront 2 compared to Battlefield 1. Digital net bookings now represent 67% of our business on a trailing 12 months basis compared to 60% in the prior year. Looking at each of the components of this quarter's digital net bookings and turn. Live services net bookings were 39% year-on-year to $787 million. The increase was driven by Ultimate Team and The SIMS4; this was a record for the third quarter. Mobile delivery net bookings of $183 million, up 5% year-on-year also a record for the third quarter. Year-on-year growth was driven by FIFA mobile. Full game PC and console downloads generated net bookings of $260 million, 27% lower than last year driven by Star Wars Battlefront 2 compared to Battlefield 1 last year. This was partially offset by the underlying growth in digital downloads. Star Wars Battlefront 2 units on console were 28% digital, up 12 percentage point over Battlefront 1 two years ago. Across the portfolio, 37% of our full game unit sales were digital, measured on X box and play station 4 over the last 12 months. This compares to 32% a year ago. Before turning to guidance, a brief note on tax reform. The enactment of Tax Cuts and Jobs Act in December 2017 resulted in a charge of $176 million in the third quarter. The charge is preliminary and includes a tax on accumulated overseas profits and the revaluation of deferred tax assets and liabilities. Also, while we are not changing our management reporting tax rate for fiscal 2018, we are still analyzing whether the new legislation will reduce this rate for fiscal 2019. In addition, because of new tax legislation and tax treatment for cash earned outside United States, it provides an opportunity for us to repatriate most of our foreign earnings. During the coming months, we'll reevaluate our capital return and investments strategy including our stock repurchases program and whether we should consider a dividend. We would expect to announce any changes on our next earnings call. On the guidance. We are raising our full year GAAP revenue guidance from $5.075 billion to $5.1 billion on strength of our live services. Our guidance for full year EPS becomes $3.25 excluding the impact of $0.48 from tax reform, this represents a $0.10 increase on our previous guidance. We are affirming our operating cash flow guidance of $1.6 billion. We continue to anticipate capital expenditures of around $120 million which will deliver free cash flow of about $1.48 billion. We are reaffirming our guidance for net bookings at $5.15 billion but owing to the strength of our live services, we expect this to skew more digital than originally anticipated increasing our profitability. For the fourth quarter, we expect net revenue of $1.532 billion, cost of revenue to be $234 million and operating expenses of $690 million. Q4 OpEx is up slightly from our previous expectations driven by phasing of investments from Q3 and stock based compensation expenses related to the Respawn acquisition. It is up year-on-year primarily due to continued investment in existing and new genres and in live services. This resulted earnings per share of $1.86 for the fourth quarter using the diluted share count of 311 million shares. We anticipate net bookings for the quarter to be $1.225 billion. This is to raise our previous expectation and up 12% year-on-year driven by strength in live services. We continue to be excited about our opportunities for the future. Though the fourth quarter and through the fourth quarter of fiscal 2019 we will be launching games across five different genres sports, action, shooter, real-time strategy and sim. We will launch them across three platforms: PC, console and mobile. And we will reach players in all corners of the world. We expect full-game downloads to continue to grow, and to see growth in subscriptions, extra content and in our mobile business. We expect esports will continue to drive growth in Ultimate Team as well as Battlefield and other titles. This will also grow our broadcast, sponsorship and advertising deals associated with our esports activities. This diversity in portfolio, platforms, geographies and business models is the foundation of a robust business that enables us to deliver dependable cash flow. Now, I'll turn the call back to Andrew.
Andrew Wilson: Thanks Blake. Across the world, more people are playing more games, in more geography, through more devices and more ways to connect. It's a vast and growing audience in the billions, with increasingly diverse interests and high expectations. Reaching players with the fun and meaningful experiences they seek requires the best games and content available across multiple platforms. It requires more ways to engage with that content, including competition. And it requires a strong connection to the community - the openness and dialogue that make this industry so unique and powerful in the entertainment world. Today, EA has one of the most wide reaching portfolios of top games and franchises in the industry. Through FY19 and beyond, we are planning stunning new additions that will continue to grow the depth, breadth and quality of experiences we bring to fans around the world. Our DICE studio will deliver the next Battlefield, with innovation at every level, incredible stories at the core, astonishing visuals and game play that will captivate every Battlefield fan. Building on one of the strongest years ever for EA SPORTS, we're setting our sights to excite even more players, and deliver even more advanced experiences, with our next slate of games. Anthem will bring a rich and dramatic new world to players, built from the ground up by BioWare as a new IP that we believe will reach a wide audience and foster a long-term community. We'll take major leaps in our mobile portfolio with two new titles set for this year, and more to follow as we continue to focus on high quality, long lasting games. And there is so much more to come in the years ahead, with new projects in development at Motive, Respawn, and our other studios, as well as more games from indie developers in our EA Originals program. We're also creating more ways to connect with our franchises, including competitive gaming that reaches tens of millions of players and spectators. With FIFA and Madden, we've broken new ground, bringing global competition to some of the most passionate fan bases in all of sports. Now with league partnerships, broadcast partners and sponsors on board, we're driving even larger audiences with thrilling, high-stakes competition. Competitive Battlefield will open up a brand-new dimension of our esports programs beginning next fiscal year, and by the end of FY19 we will launch competition in a fourth title as well. Esports is also fueling opportunities for us in growth regions of the world, driving excitement with our players across China, Korea, the Middle East and more. In all of this, we are leading in service of our players, and strengthening the connections at the heart of our global network. We are constantly listening, learning, and working to make every player experience better. With our subscription services, we're removing friction so players can enjoy more of the games they love, and in FY19 we'll be doubling down with new offerings. By leveraging the cloud, we're exploring ways that streaming and other technologies will enable those experiences to be even more seamless. And through our Frostbite technology, we are pushing the boundaries in every aspect of games today. With an amazing collection of games and content, thrilling competitions for a global audience, and a network built on the strength of our player connections, EA is uniquely positioned to lead in the expansion and evolution of this industry that we love. Now Blake and I are here for your questions.
Operator: [Operator Instructions] And your first question comes from Chris Merwin from Goldman Sachs.
Chris Merwin: Great, thanks for taking my question and congrats on the great quarter. So you got live service revenue growth of 39% in the quarter. I don't think we've seen that level of growth, quarterly growth since fiscal 2015. So wondering if you could help us understand the component of that a bit better and particular what drove such a strong acceleration and growth for Ultimate Team. And then just second question when it comes to live services, you mentioned a learning experience that you have Star Wars, so now when you think about how to build the digital economy for non-sports title, can you maybe a talk a bit about how your philosophy has changed there, if at all, and are you now more focused on cosmetic items, or do you still think collection mechanic can work for well for share or action title. Thank you very much.
Blake Jorgensen: Thanks Chris. Let me I'll display I'll start with the digital question then let Andrew answer the second one. So we were very pleased with the live service growth and the strength of across all the franchises. I think first and foremost FIFA and Madden had fabulous ultimate team experiences during the quarter, great events driving continued deep engagement. The opportunities that we did with last year with FIFA to bring a single player story mode into the game helped drive ultimate team last year and FIFA continued that this year, the same thing occurred in Madden where it brought more people into Madden and it brought them into ultimate team. That in combination with the esports business that we've been building around ultimate team and those two properties has proven to be extremely exciting for the consumer and driving huge level of interest in ultimate team and participation in ultimate team. Beyond those two properties as well as hockey which continues to do well. And UFC is starting to grow and basketball starting to around ultimate team. The SIMS4 added a substantial amount to extra content live services. The continuation of our successful content packages that we shift with the SIMS4 was a very strong during the quarter and then as we brought the SIMS4 out on console that also started the process for the console side of the equation. So we are excited about the continued future of the SIMS4 and clearly that in mobile down the road. Battlefield 1 continue to help monetize live services and their extra content program and the combination of all of that really drove the massive growth in extra content during the quarter and helped balance out the business model. So and as I mentioned just a moment ago, competitive gaming we believe continues to be a big driver there going forward. We'll see that in the Battlefield franchise I think as Andrew mentioned. So that's the extra concept when let live services, let me Andrew address the other question.
Andrew Wilson: Thank you. And a great question. We remain committed to a long term strategy of building amazing games that offer compelling adventure in the live services. And believe that digital economies can have place in those live services as we see that accepted across the industry now gains, added up in gain. But I think the greatest learning is that no single model and it's more of a how you can deliver the most engaging experience to players with new content and game update. So the same games like the SIMS, we continue to find that deal C packs through really well with the community. And that works well in that construct. We also know that when large games like Battlefield and Star Wars Battlefront premium content after launch is value by the community but only where we can offer in a world where we don't bifurcate the community. And so it comes that being really careful and consider in designing model for post launch content that will be authenticate and engaging but most importantly offer player choice. And as you see us continually work on Star Wars Battlefront 2 and as you can see us continue to evolve in the broader venture and large service across our portfolio, at the very center of earnings we want offer its choice, player choice in a world that keeps the communities together.
Operator: And your next question comes from Justin Post from BAML.
Justin Post: Thank you for my question. I guess my question would be on future titles given some of the recent controversies. First, we talked about Anthem; it seems to be pushed out to the fourth quarter. What's your confidence in that build in that game? How do you think it's coming along and maybe a little bit why it was maybe delayed a bit? And then with Star Wars having some issues versus your guidance. How do you think about that as a franchise? Can that come back in two years and be really strong again? How are you thinking about that franchise? Thank you.
Andrew Wilson: The first thing about Anthem is regardless of kind of how it's being portrayed, we are not looking at that as a delay in the game. We've chosen to launch Anthem in Q4 and the date is really determined by portfolio of balancing consideration not for product readiness reasons. It's tracking well on its development milestones. We are really confident of its ship date. We are really excited by the way the next battlefield is shaping up and it might set - it probably doesn't make sense to launch Anthem right up next to it. And when you think about Anthem as a brand new IP, we also believe it make sense to give it its own launch window so that we can give us a focus and attention that it deserve and give it some free air. In terms of Star Wars is ongoing and we remain committed to the franchise. We think the Star Wars Battlefront 2 is very core and is amazing game. The team is working diligently on update and extra content for the live services around Star Wars Battlefront 2. We expect to be - the response as I said in the prepared remarks is being really strong, the content we released so far. We expect the response to continue to be strong as we bring that content forward. And we are going to really look after that community and support and sustain that community, fulfill the commitment we made to them for a long time to come.
Blake Jorgensen: Yes, Justin, just as a reminder, we have not obviously announced product for our fiscal 2020 yet but remember that we have a Star Wars action game that the team of respondent has been working on for the last couple of years. And most likely that would drop in fiscal 2020 versus another battlefront. We haven't decided exactly timing for another battlefront yet but clearly the next big Star Wars game would be the action game in fiscal 2020.
Operator: And your next question comes from Stephen Ju from Credit Suisse.
Stephen Ju: Thank you. So Andrew or Blake, it seems like to me FIFA mobile presents one of the largest incremental opportunities for you given the installed base of devices and the global popularity of soccer. So I am wondering what drove the 26 million player increased to the base and what you may be doing in the background to improve the game's performance. I think the dialogues today has been you guys were looking to optimize the game, just wondering if you guys have turned the corner here. Thank you.
Blake Jorgensen: Well, I don't know if I would say ever say turn the corner because it's a huge long term plan but we are seeing incredible improvement in the game. We are very excited about what we are seeing but it has been on the roadmap that we've been talking about. Similar roadmap that Madden followed two to three improvement cycle in game or constantly updating and building better, better events around for the players. And that's a same approach that we are taking with FIFA. It is now trending to be - they are number two or number three game depending where Madden is and behind Galaxy of Heroes. But it's really moving in a right direction. We are very excited, and we are continuing to tune it almost daily. The team is incredibly committed to making this one of the largest mobile games in the world and we think it certainly has the potential as you can imagine we are couple be part of that roadmap going forward and some exciting things coming there as well.
Operator: And your next question comes from Brian Nowak from Morgan Stanley.
Brian Nowak: Thank you for taking my question. I have two. Just the first one the strength of the FIFA and Madden for the team, another very good quarter. I was wondering did you talk the composition of that ultimate team live service growth between and bring new payers into ecosystem versus ARPU and maybe just some of the key that do you see to bring more payers in to the ecosystem going forward? And then second one kind of the bigger picture, over the last couple of years you talked a lot about diversifying away from non-sports titles. And unfortunately some of the non-sports titles have performed below expectation. As opposed to Madden I guess can you give us some examples of areas you see for opportunity to improve your ability to execute and consistently you kind of deliver the titles and really drive non-sport franchises through the company.
Blake Jorgensen: Sure. I'll start on the ultimate team and then I'll let Andrew address the second one with the caveat and saying unless I checked last year's battlefield is one of the largest battlefields, it was the largest battlefield of all time. So I would probably say now put a little question in and how you say it our success rate in non-sports. So but to your point of live services around ultimate team, the biggest driver has been the continued to bring new people into the franchise. We grew the FIFA franchise this year and well double digit which is the largest game in the world probably one of the most amazing feat that we continue to do year in and year out through amazing innovation in the game and incredible improvement around the consumer experience, the gamer experience with the game. That plus bringing more people into ultimate team has really been the major drive. It is the single most popular way to play the game. People start to think about FIFA is really ultimate team more than they do other line game itself it's so exciting for people because it's constantly changing and it has new and exciting events every single week to bring people back. So it is truly a live service that has been driven every day and every week versus the single game. Madden follows that same trail as well as Hockey, UFC and Basketball and all of those efforts have been how do you bring more and more people into the ultimate team, overall versus how do you try to increase the ARPU on the people they are already there. We find that the ARPU increase happens naturally as people spend more time playing, but at the end of the day our effort is primarily on bringing more people into the franchise through us making sure they understand it, making sure they find ways to play it and enjoy it. For example, this year we addressed an issue where people who didn't want to play online they still want to play ultimate team, we created the modes so they can do that. So it's ways to continue to bring people into the franchise overall as well as in the ultimate team versus ARPU so.
Andrew Wilson: Yes. And of the second part of the question I echo Blake's sentiment a little bit. As I look back over the last few years and we think about the SIMS which is continue to perform year-over-year. Battlefield 1 which in its year I think without - certainly the biggest battlefield and maybe the biggest shooter of the year. Plants vs. Zombie Garden Warfare which is a new IP that has done well at plus two iterations, Dragon Age: Inquisition which is not year with game of the year, even you look at Mass Effect involved, there were some polarizing sentiment in that franchise, it's actually performed really well and player engagement is really strong. And then it calls across mobile SIMCITY build it, the SIMS FREE PLAY and Star Wars Gods of Heroes all highly successful in their own market. So as I take a 50,000 foot view and look at the breadth and depth of our portfolio, across all of the games we make and even you look at last in 2017 in aggregate we were the highest reviewed publisher across portfolio. So there is a lot of real goodness there. With all that said, that doesn't mean we are perfect and there are always learning opportunity for us and we are a learning company. And as you look through our history over the last three or four years, there have been times we didn't quite get it right and we have put out player first commitment at the forefront of everything we do and we have worked tirelessly to ensure that we are able to support and sustain them. With the kinds of experience they expect from us. And so that has made, we have changed and be the process and we've changed the testing process, we have changed some of the lively design, we changed some of the ways we go to market. And as a company we will always be learning and always evolving and always making the right changes and services of players. But on balance, I think we had a really, really strong run on sports and non-sports.
Operator: Your next question comes from Eric Sheridan from UBS.\
Eric Sheridan: Thanks for taking the question. Maybe two. One on the EA original, how should we think about the sizing of the opportunities for those sorts of games, as well as maybe the marketing support that's needed for those games versus more traditional titles that you've seen that might have bigger budgets on both the development side and the marketing side? Second question, obviously we are the world's top in the calendar 2018, how do you think about framing of world cup, what it means for FIFA broadly as a franchise both in mobile and non-mobile broadly as you look out over the next 12 months? Thanks guys.
Andrew Wilson: Let me take the first one. I'll let Blake take the second part. Again, EA originals for - is really build on a philosophical believe that we need to encourage all forms of game development to keep the industry healthy over time. We see this in the music business, we see this in the movie business and kind of world where today to compete with the likes often some of the other players in our development polishing space, and you need hundreds and millions of dollars. And that probably means some of the really interesting different working ideas never get to making into players hand. We believe that as a company with the kind of leadership position that we have that is actually our responsibility to help those games into the player's hands and through the process that probably means they are going to be giant games in the first part of it. And we don't look at it that way. But we do believe it is our responsibility and we think there is the chance as we work with these great creative developers who are doing really new and interesting and innovative things that we may find some great new IP for the future. And as we build those relationships to that kind into developers, we think it's an opportunity for us to continue to push the entire industry forward and give us access to some ideas that we may not otherwise see. Both inside the company or inside the industry.
Blake Jorgensen: And just one final point from financial standpoint and you should assume that the financial impact is negligible. We would love these titles to become big breakout hits and we are not - I am not saying they won't. But right now in our guidance for the fourth quarter we are not planning a big revenue component of it. And we provide the profitability back to the developer. So it's not really a profit issue, some revenue generated but it won't be a very large for the quarter. But we do think there will be great games that live on for a long, long period of time on multiple platforms. In terms of World Cup and how we think about that. As you know, the World Cup doesn't start until the summer, so really fall into the next year's fiscal we will give you some details when we give guidance around what we think the impact of that will be. But as we have in the past, we had a long tradition of celebrating of the World Cup inside of FIFA and bringing it to live for our fans, that goes all the way back I think to World Cup '98 where we really started to going and we've got some exciting and fun things to announce that will come on later this spring before obviously the World Cup it's going. Since I am on next year, I might as well talk a little bit about Q1 just to make sure everyone remembers a few facts from last year. We expect 2019 to be a growth year for EA. We've talked about World Cup, continued strength in all of our sports titles, the emergence of the next battlefield which is extremely exciting as Andrew mentioned as well as our new IP Anthem. All of that should turn out to be a fabulous year for EA. The one thing I'd want to remind people is all that stuff comes past Q1, so as you are looking at Q1remember last year we benefited from a $53 million deferral of Mass Effect revenue into the quarter. We shift Mass Effect to the end of Q4 but there was a deferral on the premium revenue which shifts fairly high profitability revenue into Q1. And we benefited as well from some onetime adjustments when we shut down our distribution center in Switzerland. And so the combination of those two is probably were somewhere between $0.15 and $0.20 of EPS. So just remember that as you are thinking about the quarter. Well, obviously give everyone quarterly data, the type of data that we give every year when we give guidance. But I just want to keep people aware of that as you think about next year's quarter. But we are very extremely excited for FIFA for World Cup for the year to come, it looks it's going to be another great year for EA. Next question?
Operator: Your next question comes from Ben Schachter from Macquarie Research.
Ben Schachter: Few high level questions. One can you just talk about how your view of esports has evolved really over the past couple of years? You just talked about it as much more of sort marketing driver and now that's changed. Second question is just how do you think success of PUBG has impacted your development and why do you think it has been successful? And then finally, Blake, any update on potential new streaming models or expectations for new platforms? Thanks.
Blake Jorgensen: So I am going to let Andrew talk about esports and PUBG and then I'll talk about last question.
Andrew Wilson: So I think what you are seeing right now is actually our strategy around esports coming to life. I don't believe there has been a material shift for us. We always believe that it's very cool, esports is going to drive tremendous engage - communities and allow us to reach broader communities of viewers who maybe never played our games before. And in doing so we would seek roads in the core digital businesses of the game that are featuring these sports. So you are seeing that right now in FIFA and Madden and we expect to see that in Battlefield also. What's actually happening is we are getting to a milestone quicker than we had planned. And we had always believe that over time as we build greater engagement, as we build greater viewership and as we added more titles to our portfolio of competitive games, that new opportunities around media rights, broadcast rights, sponsorship right would also come into play for us. And we are overjoyed with performance so far. Our competitive gaming group is doing spectacular work. The global player base in FIFA and Madden and we expect battlefield and future titles continue to engage and play these spectacular games and put on amazing entertainment for viewers and not just being that we are accelerating in terms of where we think all the growth effect is and profitable revenue might come from over time. In terms of PUBG, again I think what you discover in this industry is a lot of great vector that drive player engagement. And one of those is just innovation in the core game play mechanic. And the team with PUBG have done is really deliver a new level of innovation that change the way people were playing first and shooter game. And we are very respectful and complimentary what they have been able to do. We've seen that continue with fortnight. Again, so it's clearly a mode of play that the global FPS population interested in and given that we have some of the best shooters in the marketplace, you might expect that we are also thinking about new and innovative ways to play. And that doesn't mean just on a PUBG replicas inside of the battlefield universe but it does mean that our battlefield team and talked in prepared remarks, looking at how they innovate in every aspect of the game including core game play and map design.
Blake Jorgensen: On the streaming question, I think as we've talked about before, we see as we look at the media industry we've seen one of the greatest disruptions has been the combination of streaming plus subscription. We think that combination is critical. And we see the ability to have live services which allows you to monetize on top of subscription is also incredibly important. And obviously that plays to our strength. We built a long history already in the subscription business and we have a long history in live services and we think the combination of that experience plus delivering through streaming maybe very important in this industry going forward. We've been doing some consumer streaming trials. We've done over both cable and traditional streaming over cable as well as now through the use of local clients to help streaming through datacenters. We are obviously have a very successful subscription experience both on EA access as well as origin access and with the building actively as part of the investments that we've been making our player network through technology infrastructure internally that helps players' transition and connect with friends experiences, experiencing more content across multiplatform. We think that's important and also very important in the streaming world. And we've been working some of the largest partners out there on potential business models for streaming. We will continue that work and we'll continue work on the technology side ourselves. And I'd say that between in the next two to five years you'll see some major movements there with probably some testing that occurs on the shorter side of that versus the longer side maybe ever earlier. More to come but it's obviously something we've been trying to investing across many different vectors and we are extremely excited about it. Next question?
Operator: Your next question comes from Ryan Gee from Barclays.
Ryan Gee: Hi, great. Thanks for taking my call. So we really appreciate the color on the unit sales for Star Wars. I was hoping you guys could just clarify what are you doing to restructure the MTX portion of Star Wars and assuming that you guys are still committed delivering content for sale, how should we think about the timeline there? And maybe how many full Star Wars could be the top and bottom line in year two of its life? Thank you.
Andrew Wilson: Yes. So I think as we talked about it in the prepared remarks, we believe that digital economy have a place in event driven live services and our plan is absolutely to continue to drive and focus and deliver on that. And the teams are working on how that will fit in the context of Star Wars Battlefront 2 universe and we expect over the next coming months we will have more to share on that front.
Blake Jorgensen: Yes. In terms of financial, Ryan, I think you know we are inherently conservative and how we try to forecast and we did not build very much revenue at all into this year's forecast for Star Wars. And while we haven't given guidance yet as we are doing our budgets for next year internally, we are assuming that until we have a proven model that we are confident off, we are probably not going to build a lot into our budget either i.e. than into our guidance. More to come when we give our guidance but don't take that as a negative in any way. It's simply conservatism around how we are trying to drive the business. As Andrew said, it's very important to us long term because we think it's very important how fun the games are and how people will enjoy the game. We just make - we just need to make sure we get the model exactly right. Next question?
Operator: Your next question comes from Andrew Uerkwitz from Oppenheimer.
Andrew Uerkwitz: Thanks so much for taking my call. If we remove World Cup I think for a second and just starting about FIFA medium and longer term, where is the opportunity in growing that franchise? Is it kind of increasing the player base, increased ARPU? And on the gaming side, you've added a lot of new features in the past couple of years. Is there still room for more features?
Andrew Wilson: Great question. As we think about FIFA the beauty of FIFA and greatness of FIFA is the soccer or football in many parts of the world is the world's game. And just goes from strength to strength across the globe. And so really the opportunity with FIFA is really, really strong. And we think about on a few key vectors. And I always involve at first level growing the total addressable market. So right now we have tremendous geographic expansion opportunities a little bit about our China presence and well it's doing there, the Middle East is opening up is a tremendous opportunity for FIFA. The US continues to grow; South East Asia continues to grow. And the passion quite frankly across Europe continues to grow. Next we think about this in terms of platform expansion. And as consoles continue to grow and again there are more consoles saw this generation than any other generation before on play station and X Box, PC is kind of - is making a resurgent for gamers and feedback that there is very strong PC presence. We talked that in prepared remarks around mobile. And Blake talked a little bit about how we think about streaming long term. So really remove the barriers to entry to bringing more people. And then two of the most powerful motivators of human behavior on the planet competition and social interaction. And so as you think about the types of game and features that we will continue to build inside of the FIFA universe as we bring these multi billion global community of football fans together, a feature that actually drive greater social interaction as a sports fan the thing I want to do most is interact with sports fans. And as a competitor I think I want to do most is compete. And you are seeing this now around our competitive modes. But you should also expect as we branch out in geographies and platforms and new access models like streaming and subscription that features around social interaction and competition continue to be at the very core what we do and we think there is still tremendous opportunity there.
Blake Jorgensen: Yes. And I would add to that one of the things that made FIFA so successful for us is the deep partnerships that we build with the league out there. And today we don't have all the leagues so we are constantly looking at what leagues are emerging, what leagues are extremely strong and where can we better partner with leagues going forward. And it has been a fabulous way to help grow the business and help grow the support of football around the globe. The leagues see us a major way that they can market their product, their players, their teams, their stadium and we see it as obviously as perfect business combination for us. And so part of our growth strategy going forward particularly in new geographies is to how do you make sure you have the leagues for those geographies. But even in matured geographies where we might not be fully exposed to all the leagues, we are trying to make sure that we are driving that. It's an incredible competitive advantage for us to be able to have those deep partnerships and we are going to continue to try to leverage those to help grow the product across all the platforms that Andrew talked about, mobile, streaming, PC and the core console business.
Operator: Your next question comes from Mike Hickey from Benchmark Company.
Mike Hickey: Hey, guys, thanks for taking my questions. I really appreciate it. Congrats on the quarter. Two on loop boxes, one sort of ground level, I am curious if Disney is formulated any sort of opinion on whether they are comfortable with that sort of monetization mechanic and battlefront or future games. And then maybe from a higher level how should we think about bounds of risk in any sort of constructive framework emerging around loop box, and maybe how you think about if you do see that as a risks, how are you thinking about mitigating that as a company or and/or as an industry? Thank you.
Andrew Wilson: So first I would choose my words carefully. You shouldn't believe everything that you read in the press. We have a tremendous relationship with Disney. We have built some amazing games together Battlefront, Star Wars Gods of Heroes and even Star Wars Battlefront 2. And we have been very proactive in that relationship and service about players. And so at a point where we make the decision that we believe we have the right model for our players and our global community, I have no doubt that we will get the support of Disney on that. And again as we look forward, the big learning is there is no one size fit all when it comes event driven live services. But at the very core we must always build on the foundation of player of choice. And that might be the choice of whether a player engages in a particular mode or not, that might be whether a player decides to grind for something or not. But in all things it's around providing a fair playing field with players feel they have choice. And you should expect that we will continue to drive hard against that and ensure that again we didn't set out as I said in the prepared remarks to build the feature set that could be perceived to be anything other than fair. It's clear that we didn't quite get that balance right. But we are doubling down now to ensure that we do it.
Blake Jorgensen: Yes. I'll just add we do not believe that loop boxes and similar mechanics are form of gambling. I think there are a plenty of governments around the world that have agreed with us on that. And there isn't just us it is the entire industry. We work very carefully and closely with all of our industry partners and the ESA the industry body to make sure that people understand exactly what loop boxes are, exactly why they are not gambling and we will continue to engage in that going forward. We think that's important and I think there is a lot of consumers who would argue the same thing based on their great experience they have with fun games to have associated live services with them, that some maybe misconstruing as a loop box or a gambling mechanism. Next question?
Operator: Your next question comes from Mike Olson from Piper Jaffray.
Mike Olson: Hey, good afternoon. Just one question for me. You mentioned full game download continue to grow. I guess not surprise. So what did you say was in December high 30s as percent of the mix, I think something like that. And what are your expectations for calendar 2018, will we see like 10 points of growth over the next year, should we expect more incentives from either kind of film makers or publishers to push that trend. And then also is it still the case that full game downloads is 15 to 20 points better gross margin wise, or is anything changed on that front? Thanks.
Blake Jorgensen: Yes. Nothing is changed on the margin front. We finished the year around 37 for the calendar year around 37%. And as you know we are still little below the industry. I think the industry is getting closer to 40%. We skew a little lower due to the global nature of FIFA and then also battlefront 2 while it came up 12 points from battlefront 1, still skewed in the high 20s versus the high 30s primarily due to the gift giving and a younger audience base. But we see all the right trends helping that. We feel have our forecast is kind of 5 plus points a year. Obviously, we have been on a low side of that for the last couple of years. But I think at a minimum we should see five points of increase each year and hopefully it's greater than that. We don't see a cap any time soon because we know more and more players are realizing it's more convenient, easy and engaging way to play. Many players have been already buying extra content and thus have a way to have digital purchases as part of their overall game play. And we believe the consumer will ultimately default towards convenience however that might be, it might be they still have store around the corner from him, or it might be that he don't and it's easy for them to buy digitally. But you'll see us continue to do things to try to encourage people to buy digitally and we think that's still major key as part of the future business.
Blake Jorgensen: With that I think we are out of time. I appreciate everybody's great questions and interest. And we look forward to seeing everyone over the next few months, as well as talking again at the end of our Q4 when we will give guidance for fiscal 2019 in early May. Thank you.
Operator: Thank you. And this does conclude today's conference call. You may now disconnect.